Operator: Good morning. My name is Donna, and I will be your conference operator today. At this time, I would like to welcome everyone to the Bath & Body Works Second Quarter 2024 Earnings Conference Call. Please be advised that today's conference is being recorded. [Operator Instructions] I will now turn the call over to Luke Long, Vice President of Investor Relations. Luke, you may begin.
Luke Long: Good morning, and welcome to Bath & Body Works' second quarter 2024 earnings conference call. I am pleased to recently joined the company and I look forward to continuing to connect with the investment community going forward. Joining me on the call today are Gina Boswell, Chief Executive Officer; Julie Rosen, President, Retail; and Eva Boratto, Chief Financial Officer. In addition to this call and this morning's press release, we have posted a slide presentation on our website that summarizes the information in these prepared remarks in addition to providing some related facts and figures regarding our operating performance and guidance. Today's call may contain certain forward-looking statements related to future events and expectations. For factors that could cause the actual results to differ materially from these forward-looking statements, please refer to this morning's press release as well as the risk factors in Bath & Body Works' 2023 Form 10-K and our quarterly report on Form 10-Q, which will be filed at the end of today. Today's call also contains certain non-GAAP financial measures. Please refer to this morning's press release and supplemental materials for important disclosures regarding such measures, including reconciliations to the most comparable GAAP financial measure. As you know, fiscal 2023 was a 53 week year. To provide the best understanding of the business, all category sales results, year-to-date market share data, loyalty metrics and selling metrics discussed during the call are on a comparable calendar basis, which is 13 weeks ended August 3rd, 2024 versus the 13 weeks ended August 10th, 2023. All other results discussed are on a reported basis, which is the 13 weeks ended August 3rd, 2024 versus the 13 weeks ended July 29, 2023. With that, I'll now turn the call over to Gina.
Gina Boswell: Thank you, Luke, and good morning, everyone. We appreciate you joining us. I'll start with a high -level review of our second quarter results and our progress against our strategic priorities. You'll hear about the actions we are taking to drive growth in our core portfolio, extend our reach to new adjacencies end markets, how we're using our agile model to adapt to a dynamic environment, and how we're optimizing our business to reduce cost and expand margin. Our performance came against a challenging backdrop of economic uncertainty and consumers highly focused on finding value. For the second quarter, net sales were $1.5 billion, down 2% versus the prior year, and in line with guidance. Second quarter adjusted earnings per diluted share of $0.37 exceeded our guidance by a $1.00. Our second quarter net sales performance was impacted by our semiannual sale, or SAS, which fell short of our expectations. Without the impact of SAS, our net sales would have been down 1% for the previous year. Julie will go into more detail on the SAS shortfall and importantly how we will evolve SAS going forward. The outperformance in our second quarter adjusted earnings per diluted share was driven by continued improvements in merchandise margin and solid execution on our Fuel for Growth initiatives. I want to emphasize my confidence in our strategy and the actions we're taking to position the company for long-term sustainable, profitable growth through our differentiated model. This quarter we continue to invest in fortifying our operating foundation while building a platform for growth focused on five key strategies elevating the Bath & Body Works brand and product, extending our reach, engaging with customers, enabling a seamless omni-channel experience and enhancing operational excellence and efficiency. We are making good progress on each of these elements. Elevating the brand and product. We are innovating across our portfolio and leveraging speed and scale to continuously evolve the quality, ingredients, packaging, efficacy, and fragrances of our products. And customers are responding positively to this newness and innovation. In addition, given our broad product assortment and masstige positioning, we are in a unique position to elevate value for our customers in this challenging environment. Elevating value is about offering exceptional product quality and an outstanding customer experience at an affordable price. And our vertically integrated model allows us to do just that. We work with the world's top fragrance houses, the very same used by the fragrance industry, to bring our customers the affordable luxuries they've come to expect. A recent example of this is our everyday luxuries launch, our prestige-inspired line of fine fragrance mists. Whether it's everyday luxuries supporting the next hot collab or driving innovations across our core portfolio, we are making important investments in product and marketing to solidify our category leadership and brand loyalty. Bath & Body Works offers a wide array of price points, from a $2 PocketBac to a $30 candle to a $60 Eau de Parfum. And we also offer a breadth of price points within categories, using a good, better, best strategy so we can meet customers where they're at with a product they will love and trust. Extending our reach, we are growing our new category adjacencies, opening new store locations, and expanding in international geographies. Our adjacent categories of men's, hair, lip, and laundry continue to perform well, particularly among existing customers. We're also focused on attracting new-to-brand customers with these categories. In the back half of the year, we're rolling out a number of exciting product launches and marketing campaigns to drive increased awareness and buzz. Our real estate portfolio remains healthy, and we continue to reshape the portfolio and move stores off-mall with approximately 55% of our North American stores now in off-mall locations. International markets remain an attractive pillar of our strategy. We believe there is tremendous growth opportunity as we enter new markets and expand in existing markets. International system-wide retail sales grew double digits in the second quarter in the areas not affected by the war in the Middle East while pressure continued in those areas affected. At the end of the second quarter, we were operating in nearly 500 stores internationally and we're accelerating our international expansion plan and now expect our partners to open approximately 50 net new stores this year, up from our prior expectation of at least 35 net new stores. As we noted last quarter, our partners have opened the first standalone Bath & Body Works store in London and the first Shop and Shop in South Korea and both are performing above our expectations. As we continue to expand globally, our fragrances are becoming known and loved throughout the world and we are seeing strong customer adoption of our products. Engaging with customers. One way we measure our customer engagement and satisfaction is net promoter scores which we're pleased to say is consistently at the top quartile of retailers measured. Building on that strong foundation is the strength of our loyalty program which we continue to advance. We had over 37 million active loyalty members at the end of the second quarter, up 8% compared to the prior year. Loyalty members account for over 80% of U.S. sales and these customers visit us more frequently, spend more and have greater retention rates. They are drawn to exciting member-only benefits of the program such as early access opportunities, or member appreciation events. Our loyalty program has enabled us to be more targeted in our marketing and to pull back on broad-based spend. We're also utilizing customer data to drive traffic and conversion. Our technology roadmap is on track and we're putting in place the foundational tools and systems needed to support future growth while enabling new capabilities that will increase customer engagement and provide a more seamless shopping experience across channels. We recently upgraded our mobile app to a native mobile app which will further enhance our personalized targeting as we roll out new capabilities such as app for all, frictionless ordering and geotargeting beginning later this year. We are launching a Bath & Body Works TikTok shop this quarter. This social commerce capability will provide a frictionless and convenient shopping channel to attract younger customers. Finally, our generative AI fragrance finder, Gingham Genius will launch in the important fourth quarter, providing customers a personalized fragrance-finding experience using large language models and the power of our data. We believe these capabilities will increase customer traffic and sales over time through a seamless and convenient customer experience. Enhancing operational excellence and efficiency. While we execute initiatives to drive the top line, we also continue to focus on margin. We are increasing our 2024 cost savings guidance to $130 million from $100 million. The two year program that started in 2023 is now expected to deliver $280 million in run rate savings, up from the initial plan of $200 million, all while preserving the key investments to support our top line growth. Looking ahead to the back half of the year, we are focused on executing with precision, continuing to bring newness to customers and demonstrating our strong value proposition across our product assortment. We will double down our focus on the core and continue to extend our reach through new category adjacencies and expansion of off-mall and international locations. Our full rollout of everyday luxuries and our Stranger Things Part 2 collab, both of which started within the past week, include integrated marketing in stores, online, and across media channels. Taking all factors into account, including first half sales trends and the choppier macro environment, as we look ahead to the remainder of the year, we believe it is prudent to adjust our full year revenue and earnings expectations. We are also increasing our share repurchase guidance to $400 million from $300 million to return value to shareholders. Eva will give more details on these updates in her prepared comments. In summary, despite the tough environment in the first half of the year, we are in line with or exceeded our guidance. While I am dissatisfied with the pace of our return to sales growth, I remain confident in our strategy and the progress we are making. With the strength of our high margin business model and strong cash flow generation, we are well positioned to invest in the strategies that will drive our return to growth and enhance long-term shareholder value. Before I turn the call over to Julie, I'd like to thank our teams for consistently providing tremendous service to our customers and for their efforts in delivering against our strategic priorities. With that, Julie will provide the merchandising overview.
Julie Rosen : Thank you, Gina. Across the portfolio, year-to-date, we maintained our unit market share driven by increases in Home Fragrance offset by declines in Body Care and Soaps and Sanitizers. In the quarter, Home Fragrance and Body Care sales were down low single digits to last year, with soaps and sanitizers declining mid-single digits. As Gina mentioned, the semiannual sales did not perform to our expectations, and while it affected performance across all categories, it disproportionately affected Body Care. Our store presentation and marketing did not initially resonate with our customers. We adjusted the messaging and floor sets, and while the results improved, performance remained below expectations. We will continue to evaluate and evolve our approach to the sale to optimize performance, including timing, marketing, merchandising, and other considerations. Moving to other highlights, customers have responded favorably to the innovation we've rolled out this year. We are leaning into what is working. Focusing on adjacencies, the men's business continues to be one of our fastest growing categories in Body Care during the second quarter, as we highlighted Father's Day. As Gina mentioned, there is an exciting opportunity to capture new customers by growing customer awareness for this category. As planned, we fully rolled out our lip fixture and expanded assortment to nearly all North American stores during the quarter. Lip continues to attract a younger customer while also doubling sales of Lip in those stores year-to-date. Laundry will roll out to all US stores by the end of September, accompanied by the launch of a national advertising campaign to accelerate customer awareness and adoption. Focusing on the core, we recently launched our Everyday Luxuries Collection in all North American stores. This prestige inspired line, initially tested in 600 stores during the first quarter, is a great opportunity to excite our existing customers while introducing new customers to our brand. The full rollout is generating customer excitement and buzz. Also generating excitement and buzz is the recent launch of Part 2 of our Stranger Things collaboration. Whether it's Bridgerton or Stranger Things, these collaborations are exciting traffic drivers as we evolve the Bath & Body Works brand to reach new customer segments. We have additional exciting collaboration offerings planned for later in the year. We are continuing to drive fragrance innovation key to our core business. Today, we're building on the success with current on-trend fragrances in the marketplace such as vanilla and milk. We also have two significant cross category fragrance launches planned for the fall season. While our customers continue to seek newness and innovation, they are also looking for value. This was evident in the performance of our soap refills and small size products like travel, which both grew nicely in the quarter. We will appropriately position our mix of good, better, best to meet the consumer where they are while maintaining margin. As Gina noted, value is a combination of price and quality. Our new marketing will reassert our product attributes such as America's most loved candle brand. Our candles provide tremendous quality for the money and our marketing will convey the value more directly. In summary, we are amplifying what worked in the first half of the year through storytelling and marketing. We are layering in big launches like everyday luxuries and new collaborations. We have new fragrances coming in our core categories and we are building on the results we are generating in men's hair, lip and laundry as we engage more customers with these offerings. We are well positioned to execute in the second half of the year. I want to thank our teams for all their work delivering a special experience to our customers this quarter. With that, I'll turn it over to Eva.
Eva Boratto : Thank you, Julie, and good morning, everyone. In the second quarter, we reported adjusted earnings per diluted share of $0.37, exceeding our guidance of $0.31 to $0.36 per diluted share. Our outperformance in the quarter was primarily driven by stronger merchandise margins. Our team maintained operational discipline to achieve earnings that were above the high end of our EPS guidance despite net sales in line with the low end of our guidance. Moving through the P&L, second quarter net sales of $1.5 billion declined 2.1% compared to prior year. As discussed earlier, we experienced a more cautious consumer backdrop and our store traffic was pressured throughout the quarter, similar to external benchmarks. In US and Canadian stores, net sales totaled $1.1 billion, a decrease of 0.3% versus prior year. Direct net sales were $297 million, a decline of 9.7% compared to last year. Direct net sales performance was negatively impacted by growth in BOPIS, which is recognized as store net sales. When adjusted for BOPIS, direct outperform stores, a nice improvement to previous quarters. BOPIS demand increased approximately 60% in the quarter and year-to-date represents approximately 23% of total digital demand. International net sales were $89 million, an increase of 2.2% from prior year, driven by product shipments. This was a significant improvement relative to first quarter results. I would also note there was some pull forward of wholesaler shipments as partners were building inventory for the fall season. Second quarter gross profit rate was 41% an increase of 110 basis points compared to prior year, and the fourth consecutive quarter of gross profit rate expansion. This was primarily driven by merchandise margin expansion of 130 basis points exceeding our expectations. AURs increased 1% in the quarter, driven by mix. We will continue to take the appropriate pricing and promotion actions to maximize sales and margin for the company. We tightly managed expenses, delivering SG&A as a percentage of net sales of 29.1% in line with expectations. The benefit of our cost optimization work spans across both gross profit and SG&A. In the second quarter, we deliver benefits of approximately $40 million. Second quarter total operating income of $183 million decreased 2.7% and was 12% of net sales, flat to last year's rate. Moving below the operating line, in the quarter, we were pleased to sell our stake in certain Easton investments in Columbus, Ohio, as we focus on our core business. Our adjusted results exclude the $39 million pretax gain related to the transaction. Our adjusted results also exclude a $44 million realized tax benefit related to the release of evaluation allowance on a deferred tax asset. With respect to inventory, we ended the second quarter with total inventory up 6%, compared to last year, in line with our expectation. The increase in inventory is supporting new product launches and new stores. Our inventory levels are well positioned heading into the second half of the year. As for real estate, in the second quarter, we opened 24 new all-small stores and permanently closed seven in-mall stores in North America. Internationally, our partners opened 11 net new stores in the second quarter, resulting in a total international store count of 497. Turning now to our fiscal 2024 guidance. Based on our first half of the year sales trend of down 1.5%, as well as the choppier macroeconomic environment, we do not anticipate the sales acceleration as originally planned. We've updated our guidance accordingly. For the full year, we now expect net sales to range between down 4% to down 2%. And as a reminder, 2023 included a 53rd week, which added $81 million to net sales and represents a headwind of approximately 100 basis points to our 2024 growth. For clarity, we have provided the quarterly impact on net sales due to the calendar shifts in our slide presentation. We now expect full year gross profit rate to be approximately 44% and SG&A rate to be approximately 27%. We now expect to deliver approximately $130 million of annual cost savings, up from our previous guidance of $100 million, benefiting both gross profit and SG&A this year. We now expect full year adjusted net nonoperating expense of approximately $280 million and adjusted effective tax rate of approximately 26.5% and weighted average diluted shares outstanding of approximately $222 million. Considering all of these inputs are updated full year guidance for adjusted earnings per diluted share is between $3.06 to $3.26, down 1% at the midpoint versus our previous guidance. Turning now to our third quarter guidance, we are forecasting a third quarter net sales range of flat to up 2.5% versus the prior year. The third quarter will benefit by approximately 200 basis points from the shifted fiscal calendar resulting from the extra week in 2023. We expect third quarter gross profit rate to be approximately 43.5% comparable to prior year. In the third quarter, we are lapping the 140 basis point gross profit rate expansion we delivered last year. We expect our third quarter SG&A rate to be approximately 30.5% with the deleverage versus the prior year driven largely by higher marketing investment and wage inflation. These increases are partially offset by our cost reduction initiative. We expect third quarter net nonoperating expense of approximately $70 million and a tax rate of approximately 27% with weighted average diluted shares outstanding of approximately $220 million. Considering these inputs, we are forecasting third quarter earnings per diluted share of between $0.41 and $0.47. Let me provide a quick update on capital allocation. Our top priority remains driving sustainable long-term profitable growth through investments in the business. Year-to-date through the second quarter, our total capital investment was $101 million. We have tightened our full year capital spending guidance to approximately $250 million, down from our prior range of $300 million to $325 million. The reduction is largely driven by cost savings in our real estate buildouts and timing of multiyear supply chain investment. We will continue a disciplined mindset. During the quarter, we paid out $45 million in dividends and have paid out $90 million year-to-date. Additionally, we recently announced a quarterly dividend of $0.20 per share payable on September 6. We expect to continue our annual dividend of $0.80 per share with the intention to increase the dividend over time with sustained earnings growth. During the quarter, we repurchased 3.6 million shares of common stock for $150 million at an average price of $41.75 per share. Year-to-date, we've repurchased 5.8 million shares of common stock for $249 million. Our full year guidance now reflects the expectation to repurchase $400 million of shares throughout fiscal 2024 and increase from our prior expectation of $300 million as we view this as an attractive use of free cash at current prices. In the quarter, we repurchased $91 million principal amount of senior notes and our gross adjusted debt-to-EBITDA ratio improved to 2.7x on a trailing 12-month basis. Year-to-date, we repurchased $200 million of principal amount of senior notes. Currently, we do not plan to pay down or repurchase additional debt this year. Next year, we have approximately $314 million of debt maturing, which we will pay down. After investments in the business, we expect to generate full year adjusted free cash flow between $675 million and $775 million, and we'll put that toward our capital return priorities of dividend and share repurchases, as I just outlined. Now I'll turn the call back to Gina for some closing remarks.
Gina Boswell: Thank you, Eva. To close, despite a dynamic environment, Bath & Body Works has maintained its overall unit share performance year-to-date, driven by the strength of our category portfolio, deep loyalty and love for our brand, and the exceptional customer experience our associates provide to our customers every day. Our Fuel for Growth plan is on track, and it allows us to continue making investments in technology, innovation, marketing, and loyalty. While our Q2 performance and a choppier macro have tempered our expectations for the second half of the year, we are laser-focused on execution and controlling the controllables. I'm confident we have the right plan in place and are taking the right actions to position the business to navigate the near-term environment and deliver long-term sustainable, profitable growth and shareholder value. I will now turn the call over to the operator for questions.
Operator: [Operator Instructions] Today's first question is coming from Simeon Siegel of BMO Capital Markets.
Simeon Siegel: Thanks. Hey, everyone. Morning. Hope you have a nice summer. Gina, could you speak to how you're thinking about new category revenues as being additive versus maybe a reallocation of customers' intended spend at Bath & Body Works just as they normalize those candle purchases? I guess Men deodorant obviously feels clearly additive, but how do you think about the other new categories? And maybe just, I know you test a lot, to maybe just speak any test to give you confidence in the incrementality there. And then Eva, I think you maintain the free cash flow guide but cut CapEx nicely. So I know there's some moving pieces that you mentioned with Easton and taxes. So could you just bridge that gap, if that'd be helpful? Thanks everyone.
Gina Boswell: Great, thank you. Thank you, Simeon. Nice to hear your voice. Hope you had a lovely summer as well. I'll take the first question on the new categories. Overall, those new categories were pleased to see that they met their plan in the quarter. But even more importantly, I think that you're alluding to is what else do they bring? We're satisfied on a couple of levels. First, these are large addressable markets. Not only do they meet the sales expectations for these specifically men's hair, laundry and lip are what I'm referring to. But they deliver against three other metrics that we track. The first is how many new to brand customers do they bring, right, in addition to shop the entire shop. Secondly, the repeat, which we like what we see on the repeat usage behavior. Thirdly, the incrementality, which we're monitoring. It varies, but we like what we see on incrementality as well. To see those three metrics on these new categories, to see them hitting their sales, and to the fact that some of them are not fully rolled out. I believe laundry will just be fully rolled out next month. Then we can turn on full marketing to drive accelerated growth from there. Eva?
Eva Boratto : Yes, thanks for the question, Simeon. On free cash flow, obviously a benefit from taking our CapEx down. You have some other moving pieces on working capital assumptions. Overall, we're pleased where our free cash flow stands, some impacts of the Easton transaction as well.
Operator: The next question is coming from Lorraine Hutchinson from Bank of America.
Lorraine Hutchinson: Thank you, good morning. Excluding the calendar shifts, you're guiding fourth quarter sales to be worse than what you expect for the third quarter. Can you walk us through the puts and takes and why you're expecting more challenging holiday season?
Eva Boratto : Yes, this is Eva. Lorraine, I'll start with the full year and then take you through the quarters. Our reduction in our sales guidance is really attributable to the sales trends that we saw. We are seeing a more value-seeking customer now versus our prior expectations, and as we said, the macro is choppier. Also, the pace of growth that we're seeing from our new customers is taking longer. So overall, they're the core drivers. As you look at the dynamics between Q3 and Q4, we do have the shorter holiday season, right, five days shorter. We're working to utilize periods outside of between Black Friday and Christmas to drive our Q4 performance. But that is a key difference as we look at the quarterly trends.
Operator: The next question is coming from Alex Straton of Morgan Stanley.
Alex Straton: Great. Thanks all for taking the question. I just wanted to hone in on the second quarter sales in terms of the cadence of the quarter. It sounds like you made some adjustments that had some benefits. So I just want to understand exactly how you guys think about the shortcoming there and then what gives you guys confidence in the trend improving into the third quarter. Thanks a lot.
Eva Boratto : Thanks, Alex. This is Eva. I'll take that question. We did experience more cautious consumers throughout the quarter. We saw traffic pressure throughout the quarter consistent with external market data points. As we look going forward, well, sorry, on the quarter, SAS did pressure us more, that one month period of SAS excluding that sales were down about one. From a positive, customers did respond to our newness. And as we exited the quarter at the tail end of the quarter, traffic improved and has been stronger in the first parts of Q3 here. And we've just had some exciting launches with everyday luxuries and stranger things. And so overall, we're looking forward to the quarter.
Operator: The next question is coming from Kate McShane of Goldman Sachs.
Kate McShane: Thank you for taking our question. Our question was around the semiannual sale performance as well. Do you think there was any execution miss in the quarter or do you still think it's more of the macro? You did mention one of the things we'd be looking at in the future was timing. Was there any change in timing of this year's SAS, and how are you thinking about maybe other elements as you approach the next semiannual sale?
Julie Rosen : Hey Kate, it's Julie, I'll take this question. So I think that semiannual sale didn't really resonate with customers the way it usually does because the store and the marketing didn't clearly convey that this was a tentpole major sale event. It was mostly positioned at the front of the store. It didn't really scream sale across the entire store, and there was maybe a little bit too much elevation. We know that our customer likes newness along with sale, and we're balancing the elevation and the sale at the same time, so we definitely had some learnings there. We immediately used our agile business model to adjust our messaging and floor sets, and while results improved, the performance remained below our expectations. We did end the sale in clean inventory position, so we feel that we manage the pricing well. We are taking the learnings to evolve next year's sale to make it more impactful. So, yes, we are evaluating the timing and the customer mindset. Timing was exactly the same this year as it was last year, as was duration, but the customer was not quite there in the mindset of a full-on sale, so we are looking at the timing. We are looking at the marketing. We are looking at merchandising, and then just other considerations to optimize performance of both the sale and the full-price floor sets surrounding the period on either side.
Operator: The next question is coming from Matthew Boss of JP Morgan.
Matthew Boss: Great. Thanks. So, Gina, could you elaborate on customer traffic relative to AUR trends that you are seeing today, or maybe just how best to think about the balance between these two drivers multiyear, given the increased focus on value that you cited? And then, Julie, if you could just elaborate maybe on demand that you are seeing across categories in August or early customer response to your fall assortment.
Gina Boswell: Thank you. Great to hear you, Matt. I'll start with customer traffic relative to AUR trends. So, as we saw, and was alluded to, traffic was difficult in the quarter comparable to external trends. We do use, obviously, not just SAS, but we use some of these collabs to drive traffic and excitement and buzz. The AUR impact, you saw that we ended pretty much flat on mix-adjusted AUR, so we felt pretty good that we could both balance the excitement, the SAS, and getting the clean inventory, but without, and we felt very good actually about the way we used our agile model to promote as needed to deliver. I will then go to Eva, and if I haven't fully answered your question, we can come back. Eva?
Eva Boratto : Yes, Matt. Regarding Q3, as I said earlier, traffic has improved relative to Q2. Our performance to date is contemplated in line in our guidance range that we provided, and we just launched some of our newness with everyday luxuries and stranger things, and we're really excited.
Operator: The next question is coming from Krisztina Katai of Deutsche Bank.
Krisztina Katai: Hi. Good morning, and thanks for taking the question. I wanted to ask about your good, better, best strategy and your mention of having available price coins for everyone. So how do you think about the assortment for the balance of the year if you continue to see a consumer that is accelerating their value-seeking behavior? So that is part one. In part two, as you're thinking about sort of increasing your marketing efforts, what have you found to be working well, and how successfully have you been able to tie in your loyalty program data to drive greater ROI on that sense? Thank you.
Gina Boswell: Thank you for the question. On the first part, we do have a wide array of price points, as I said, and the good, better, best, it's really value at every one of those levels. And so in my remarks, I mentioned about elevating value. We have just enormous, and hopefully you've seen some of the slides showing the most loved candle. For our categories and our products, we offer tremendous value embedded. And so when we look at good, better, best, we can meet the customers wherever they are at. So if we find a very value-seeking customer. We can distort more towards good if that's sort of where we think they are. Similarly, better, best, you see this in all the different categories that we have. We also use our promotion levels as well to make sure that we're meeting their mindset. So we're happy with the broad assortment that we have. And actually, as we sit at the intersection of math and prestige, whether there's people coming in, coming out, we feel like we have something here, and we definitely will be speaking more to the value that we offer. Now, value in general is, as you well know, not just about the price. It's about the quality, and frankly, it's about the experience. So, as a customer, just stepping back, if you're looking at all three of those, we're going to be sharper on all. And that's why I'm really thrilled with our vertically integrated model too because the experience in the stores being sort of industry leading is also part of what value brings. So, we're excited about good, better, best. Now, in terms of marketing, what's working, we only started, I guess, a couple of quarters ago, our full funnel marketing, and that has been designed, obviously, to grow traffic, to grow new customers, to reach existing customers, and to reactivate any lapsed customers. It's only a couple quarters in place, but it's really moving the needle on awareness. We've seen awareness increases, we've seen familiarity increases, and of course, ultimately over time, move down the funnel to more conversion. Now, when we combine the marketing, which we have seen, obviously, combined with newness and innovation, and the compelling price value proposition, it really pays off, and we think that will continue to build. The collabs, as well, those are driving excitement to our core and putting the brand at the center of culture, and that's important from a marketing perspective, as well as a product. And then, leveraging TikTok to catch a younger customer, I think that's going to be exciting, as well. A few things more on this. Stranger Things, the first part of that, we drove 20 million video views, and I think the best TikTok ever. So, this marketing is really, I think putting us at the center of culture and attracting people and driving traffic as it needs to do. So we're confident with our plans to use marketing and our product, and our entire value proposition to grow customership, and we have seen improvements from a year ago.
Operator: The next question is coming from Dana Telsey of Telsey Advisory Group.
Dana Telsey: Hi. Good morning, everyone. As you think about the semiannual sale, I don’t know, Julie, Eva whichever of you, if you think about the semiannual sale, and if you were to do it differently going forward, what would the changes be? How do you think about that? And in the newer categories that you have, the lip, the hair care, deodorant whichever which is seeing greater traction than another, and are any AURs being adjusted for some of the new categories given the hesitancy on elevation by the consumer in terms of pricing? Thank you.
Julie Rosen : Hey Dana, it's Julie, nice to hear from you. So I think in the sale some of the things that we are thinking we do differently as I mentioned is timing. I do think that we need to sort of get more in sync with the market and what the right timing is. If we move the timing of our sale, Dana, it enables us to let our first delivery of summer live a little bit longer. We had nice success there this year and it's crunched in three weeks. So I'm excited about the opportunity about moving out the timing and giving both of the newness drops on either end of the sale an opportunity to really sell and to really be able to tell our story. As far as the new adjacencies, they're new, right, and they're all at different stages of their rollout. So just as a reminder hair rolled out in Q1. We are testing and tinkering not only pricing. I'm sure if you follow us what you do, you can see we have an everyday deal we've tried at a certain price. We offer a bundle at a certain price. We're trying to figure out the sweet spot of pricing for all of these adjacencies and gain trial because they're new. We also launched our travel size shampoo and conditioner this quarter, a great way to gain trial. And then we have men's, which has been in all stores for a while, but we've rolled out some new ideas there that we're continuing again to figure out what is the right AUR, what is the right way to attract more men to our brand. Lip, you know we're super excited about. We just rolled that out just in July. So it's only been a month to all North American stores. We have a routine of scrub masks tint and it's really resonating with customers. And the exciting thing here is we're seeing a younger customer. We see them linger at the new fixture, play with the assortment and then purchase. And year-to-date sales have been doubling in those stores. And then laundry is just rolling out to all stores in the end of September. And that's going to allow us to really have full marketing support. So it's hard for me to tell you which one is going to be better than the other cause they all haven't been equally in all stores. But as always, we test, optimize and roll. And then we continue to use our agile model to test for the best outcomes.
Operator: The next question is coming from Olivia Tong of Raymond James.
Olivia Tong: Great, thank you. Could you talk a little bit about your AUR expectations in the second half of the year? You obviously started the year off a little bit chopping and got on set of your footing, but clearly the macros have become a bit more challenging. And as you think about second half plans, can you just talk about some of the various initiatives you have to drive traffic? And then just following on that, can you talk a little bit about what drove the incremental cost savings in your confidence to maintain that level of cost mitigation to support the margins in the second half? Thank you.
Eva Boratto : Great. Thanks for the question. This is Eva. I will take your third question and your first question in that order. On the cost savings, listen, we're really pleased with what we've been able to deliver with our cost savings initiative. It's allowing us to reinvest in the business overall at the same time, improving our sustainable cost structure. But to your specific question about the increase, it was really changes in move, some of our value engineering on our supply chain side, and just continued work that we do on SG&A. Going back to your AUR question, during Q2, AURs were up 1%. I just want to emphasize that was mixed driven. So on a comparable mixed basis, we were flat. And as we look to the back part of the year, we're not providing specific AUR guidance. We want to make sure in this environment that we utilize one of our strengths, our agility to promote and to drive traffic where we need to. And as we do that, we'll always balance both driving revenue as well as delivering our margin expectations.
Gina Boswell: And as for the various initiatives to drive traffic in the second half, this is Gina. There's lots here. We're really confident in the back half because in part, we have talked about this prestige-inspired line that's just actually launched full board this week in all North America stores and online. That's a big opportunity for us to excite our existing customers, but also introduce new customers. And we've amplified our marketing behind that. We're also building on the success. Julie mentioned this in her remarks. But a lot of trend, on -trend fragrances, such as vanilla and milk, and watching those perform in the second half will be, I'm sure, contributing. And then we have some things that we can't yet talk about. But we have one more collab. We have two significant cross-category fragrance launches planned for the fall season. And the fact that we will have some of the new adjacencies now in all stores gives us more excitement for the second half.
Operator: The next question is coming from Marni Shapiro of The Retail Tracker.
Marni Shapiro: Hey, guys. I just want to follow up on this TikTok conversation and the prestige fragrances. Because first I want to confirm, the prestige fragrances are the ones that I saw blow up on TikTok. And then, assuming that's true, when you launch on the TikTok shop, can you just give us a little bit of information here? Will you launch with the prestige fragrances? Or will it be across all categories? Are you using your own influencers or content creators? Or are you doing this through the TikTok shop? And TikTok shop tends to lean into promotions. And BBW also has your own version of promotion. So could you just give us a little insight to what this looks like? Because I've seen TikTok shop be very successful. I've personally been influenced by it. So I'm just curious if you can give us a little insight there.
Gina Boswell: So thank you for the question. It is true that these everyday luxuries sit below about TikTok. They weren't in all of our stores, by the way, which is why bringing them back in the way that we're doing is really important to leverage that even further. We are early days. We are learning on TikTok Shop. We will be using TikTok Shop for at least a portion of our categories. And so we don't have some of the details yet to share around content creators, but we will be using their shop itself, which as you know, is a more frictionless, convenient experience. And like most things at Bath & Body Works, we test and react and tinker, and we will have more to share I'm sure at upcoming quarters.
Operator: The next question is coming from Jonna Kim of TD Cowen.
Jonna Kim: Thanks for taking my question. Could you just talk about the candles and the sanitized categories, what you saw there during the quarter, and how you plan for those categories in the back half, and also just curious on the marketing spend as you continue to invest there, what is the right level of marking spend over time? Thank you.
Julie Rosen : Hi there, it's Julie. I will take the candles and sanitizers question and then pass it back to Gina for the marketing. So as a reminder, candle performance was impacted by the right sizing of our single wick. We exited our mason jar forms. We are using that space for newer, more productive categories. Our Stranger Things initial launch was all candle based. So we're trying to use some of these collabs to surprise and delight our customers to increase our sales in candles and gain some relevancy there. We do know that customers are gravitating towards values. So we've been repositioning our single wick to amplify our value. As far as sanitizers go, we are also in sanitizers. We continue to be impacted by the exit of the full size sanitizer. But I do want to point out that our PocketBac continues to perform. It performed well above shop. We launched a moisturizing PocketBac in Q1 and our customer continues to respond positively. And that is along the lines of what we're always trying to do, which is to innovate in our core.
Gina Boswell: And as relates to the marketing spend, obviously, we're spending across different channels in marketing and across different categories. So you'll see some of the candle advertising as well supporting that. But I think your question was focused on the right level over time. And what we are doing, we're spending more, obviously because we're putting full funnel marketing in place and we're watching that work through marketing mix modeling to make sure that we actually have the highest ROAs for sure, but also the impact to the whole shop and bringing relevancy and familiarity and awareness and all of those things that I mentioned. So as we continue to test that, we'll either add to that or reallocate across different marketing expenditures. But my sense is that we will have more to go in terms of getting to competitive benchmarks there. But right now, we like what we see. The investments that we're making in marketing have strong profit accretive returns, and they have positively impacted the trend, going back to Q3 of last year, actually. So we know that when we get the right levels and we combine it with a compelling price value equation, that we're going to see benefits from the full funnel marketing investment.
Operator: The next question is coming from Paul Lejuez of Citi.
Unidentified Analyst : This is Kelly on for Paul. Thanks for taking our question. Just to follow up on the AURs, I'm just curious how promos played out during the semiannual sale versus outside of that period. And then just specifically on the candle category, just to follow up on your comments there, just given the overall weakness, is there any thought that it might make sense to reinvest in price in that category, given the consumer is seeking value? And just lastly, any update on the product cost or raw material cost, given we've seen just soy pricing come down, and what's embedded in the guidance? Thank you.
Eva Boratto : Hi, Kelly. This is Eva. Let me start with your promotion question. Overall, our promotions were comparable for the quarter. We use our agile model when we promote the duration, the depth. We did introduce some new promotions to drive traffic and excite our customers, and we were pleased with the outcome. So I'm not going to call up semiannual sales specifically. It's a lever we use to drive our business. Moving to your question on raw material costs. Overall, I would say, most key raw materials continue to stabilize or trend down slightly. We realized benefits last year, those continue. So no big change to call out here.
Gina Boswell: And then as far as your question about candles and pricing, as I mentioned, we know that we have a very value-seeking customer out there right now. And we are using our single wick as a way to gain share and really promote the great price for the value. And that together with really talking about value in quality ways, is really important. And so really pushing on the most loved candle for our three wicks, as well as using the single wick, I think will meet the requirements. I think we have time for one more question, please.
Operator: Our last question is coming from Korinne Wolfmeyer of Piper Sandler.
Korinne Wolfmeyer: Hey. Good morning. Thanks for taking the question. Can you provide a little bit of color on the different segment performance you're anticipating for the back half of the year and how we should be modeling direct versus store versus international? I think you said there was a little bit of pull forward for international. And then any color on how you're thinking about the broader promo environment for the back half would be great. Thank you.
Eva Boratto : Yes. This is Eva. In terms of our full year guidance, we do expect international sales to be down in the back half, mid to high single digits. That's driven by the regions affected by the war. I also mentioned that there was some pull forward in Q2. In terms of direct versus stores, right, we focus on an omnichannel experience. Focus has continued to grow nicely for us. We have now annualized our anniversary, but it continues to deliver growth.
Gina Boswell: And your question on the broader promo environment in the back half, all I can say is that we do our promo environment as dynamically as anyone leveraging our agile model, so we'll continue to do that. And we have been seeing a discerning consumer for some time, and the macro has gotten choppier, but we feel well positioned to use that agile model in the back half as well.
Operator: At this time, I'd like to turn the floor back over to Mr. Long for closing comments.
Luke Long: We want to thank you for joining today's call. A replay will be available for 90 days on our website. Thank you for your interest in Bath & Body Works.
Gina Boswell: Thank you.
Operator: Ladies and gentlemen, this concludes today's event. You may disconnect at this time. And log off the webcast and enjoy the rest of your day.